Operator: Ladies and gentlemen, thank you for standing by and welcome to the Sonos Fiscal Third Quarter 2020 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today Ms. Cammeron McLaughlin, Vice President of Investor Relations. Please go ahead.
Cammeron McLaughlin: Thank you. Good afternoon, and welcome to Sonos third quarter fiscal 2020 earnings conference call. I am Cammeron McLaughlin, and with me today are Sonos CEO, Patrick Spence; and CFO, Brittany Bagley. Before I hand the call over to Patrick, I'd like to remind everyone that today's discussion will include forward-looking statements regarding future events and our future financial performance. These statements reflect our views as of today only and should not be considered as representing our views of any subsequent date. These statements are also subject to material risks and uncertainties that could cause actual results to differ materially from expectations reflected in the forward-looking statements. A discussion of these risk factors is fully detailed under the caption Risk Factors in our filings with the SEC. During this call, we may also refer to several non-GAAP financial measures, including gross margin and adjusted EBITDA, excluding the impact of tariffs, adjusted EBITDA, adjusted EBITDA margin and free cash flow. For complete information regarding our non-GAAP financial information and a reconciliation of those measures, please refer to today's shareholder letter regarding our third quarter fiscal 2020 results posted to the Investor Relations portion of our Web site. With that, I will turn the call over to Patrick.
Patrick Spence: Thanks, Cammeron, and hello, everyone. Thank you for joining today. Before getting to our quarterly results, on behalf of all of us at Sonos, we are wishing everyone good health and sincerely hope you are continuing to manage your way through these challenging and unpredictable times, I would also like to take a moment to emphasize our commitment at Sonos to do our part to eliminate our society's systemic racism. We are focused on ensuring that Sonos is a place where our black colleagues feel welcome, included and represented. More broadly through our Sonos Soundwaves program, we will continue our efforts to support underrepresented groups, especially black and [indiscernible]. Sonos has also donated to the emergency fund for racial justice and I encourage our employees and all of you to educate, listen and contribute to help drive much needed change. Now, let me turn to our quarterly results. This past quarter has illustrated the strength of our culture and the Sonos brand. The adaptability and resilience displayed by our team has been deeply inspiring and gives me confidence that Sonos will continue to thrive in the face of whatever new challenges come our way. Despite the global pandemic, work from home restrictions and the closure of many physical retail stores, we were able to successfully launch three new products this quarter. Customers and reviewers alike have received them extremely well. Their sale helps support our better than expected third quarter financial results, which we achieved through record direct to consumer revenue. As reflected in the guidance we are posting for the rest of the fiscal year, we see continued strength and momentum as we look forward and are on track to deliver our 15th consecutive year of revenue growth. We delivered third quarter revenue of $249.3 million down only 4% year-over-year despite the physical retail store closures. We performed especially well in the United States and United Kingdom were total revenue grew 4% and 13% year-over-year respectively. Sales were so strong that we exited the quarter, I would have stopped on seven of our key products as demand exceeded our expectations. We are working hard to get these orders filled and we will be in a better inventory position in the fourth quarter. A key factor in our ability to achieve this excellent performance was the investments we made in our direct to consumer channel. We quickly adapted when physical retail stores started to close and drove a 299% year-over0year increase in direct to consumer revenue in Q3. Listening hours were up approximately 40% this quarter compared to last year, as we continue to be more relevant than ever and how people enjoy their lives through music, TV, podcasts and anything they want to listen to. We kicked off the third quarter on a strong note with the success of our at home with Sonos marketing campaign. Our ambition was to help make people's lives a little more joyful while they were spending more time at home. To do this, we pivoted our marketing efforts to a digital campaign with tips on how to get the most out of your Sonos system coupled with a targeted promotional offer. The campaign yielded strong momentum which continued through the rest of the quarter, even without a promotion, as our newest product introductions, Arc, Five and Sub as well as our relatively new product move generated tremendous demand. We designed great products and experiences that are easily used, deliver brilliant sound, and give users freedom of choice of music and voice services. We were thrilled to launch three new premium products into the marketplace in June. And to have those products resonate so strongly with both professional reviewers and customers. Arc is our premium soundbar delivering our most immersive home theater experience and setting a new standard for premium home theater sound. Despite a higher price point, we sold significantly more Arcs during preorder than we did during the preorder period for being two years ago. Media reception to Arc has been incredibly positive and Arc has quickly earned top recommendations in the category focused on his premium sound experience with the introduction of Dolby Atmos, its design ease of use and the ability to expand to a full home theater setup as part of the system. We also launched the Sonos Five which is our most powerful speaker delivering the same studio quality sound as the beloved play five, while adding increased memory, processing power and a new wireless radio. Finally, we introduced our new Sub, featuring the same iconic design and bold bass as its predecessor, but featuring upgrades in memory, processing power and more. Alongside the three new products in June, we launched Sonos S2 a powerful new approximately, an operating system to enable the next generation of Sonos products and experiences. In addition to new features, usability updates and more personalization moving forward, S2 will enable higher resolution audio technologies for music and home theater. We are focused on driving adoption of the new app and it is being well received and reviewed by owners as they transition their systems and become familiar with the new features and functionality. Despite work from home and travel restrictions, the team were creatively to market and launch these products with great success. Ahead of the product announcement, we made a full pivot to a digital press experience where media could find bespoke creative materials that illustrated the audio and engineering feat of our capabilities, coupled with in depth commentary from the product and engineering teams. Without the benefit of in-person demos, we shipped Arc to reviewers around the world to secure unbiased third-party reviews ahead of launch. On a separate note, we continue to work towards realizing the value of our intellectual property assets, while also investing in expanding our patent portfolio to capture those ongoing innovations. As we continue our history of inventing new capabilities, we are receiving dozens of new patents every year. We have demonstrated a commitment to protecting our IP through litigation. We previously achieved a successful outcome against Denon and as announced last week, we have now done so in our litigation against Lenbrook Industries, the maker of Bluesound products. Under a confidential settlement, Lenbrook Industries has entered into a multi-year licensing agreement associated with all Blue OS enabled solutions worldwide. In the meantime, we've been proceeding against Google and the International Trade Commission. We remain confident in our case, which is set for trial towards the end of February 2021. Given the rapidly changing environment, we've made some tough decisions that we believe better position the company for long-term success. In late June, we made the decision to say goodbye to 12% of our global team and close down six satellite offices and our New York retail store, while the reduction in force touched all of Sonos, the team most impacted within our sales and marketing organization. We continue to prioritize our investment in new products and services and believe that this reorganization positions us to seize new opportunities that we see on the horizon. We remain focused on our long-term product roadmap and cadence of two new products a year while also continuing to experiment with new business models and partnerships like IKEA, Sonos for Business and Sonos Radio, among others. We are confident that the actions we have taken this quarter and the way we are operating today set us up for continued momentum and long-term success. I will now turn the call over to Brittany to provide more details on the third quarter and our outlook.
Brittany Bagley: Thank you, Patrick. Let me get a bit deeper into our financials. Total Revenue in the third quarter exceeded expectations, as it only declined 4% to 249.3 million and grew 42% over Q2. As a reminder, there were ongoing physical retail store closures and phase three openings which continued to negatively impact our revenue during the quarter. However, we were able to offset this to a large extent through the strength of our DTC channel and the success of our new product launches. The positive demand for our products exceeded our expectations and led to constrained product availability. As Patrick mentioned, we expect to catch up this quarter and have included that in our future guidance. We also saw strong gross margins this quarter, excluding the 4 million in China, U.S. tariffs, duties, gross margins would have increased 60 basis points to 45.7%. On a reported basis gross margin decreased 110 basis points to 44% during the quarter, due to the introduction of tariffs in September 2019. The increase was largely driven by volume and mix shift into higher margin products and channels, as well as product and material cost reduction. These gains were partially offset by expedited freight cost to increase inventory levels and fill back orders to meet the higher than expected demand. Even with the strong revenue performance in Q3 and our Q4 guidance, we are still not quite on a path to hit our original goals for the year. As a result, we have been actively managing our costs, which included reducing 12% of our workforce, closing our New York store and six smaller satellite offices. We are also continuing to manage our OpEx as discussed last quarter, which has included the reduction of marketing investments, suspending travel and limiting new hiring. As a result of this restructuring plan, we incurred 26 million in restructuring and related impairment charges during the quarter. We have provided a table in our shareholder letter today that breaks out the charges by operating expense line item for better compatibility. We expect this restructuring to result in 7.5 million of OpEx savings in Q4. Excluding the 26 million in restructuring related expenses and 4.1 million in IP litigation fees during the quarter, total operating expenses increased 3% year-over-year, largely due to our increase in R&D investments. Including restructuring and IP litigation expense, total operating expenses increased 26% to 166.7 million during the quarter. Excluding 4.9 million of restructuring costs, research and development expenses increased 19%, primarily due to increased headcount and personnel costs as we continue to invest in new products, services and features. Inclusive of restructuring costs, R&D increased 30% to 57.8 million. Sales and marketing excluding 19.8 million in restructuring costs decreased approximately 7%, primarily due to lower marketing and advertising spend during the quarter offset by an increase in expenses related to our higher DTC revenue. Including restructuring costs, sales and marketing increased 26% to 77.3 million. General and administrative expenses excluding the 1.4 million in restructuring costs and the 4.1 million in legal fees related to our IP litigation decreased approximately 2% during the quarter, including restructuring and IP litigation costs, G&A increased 19% to 31.7 million. Excluding the 4 million in tariffs duties, our adjusted EBITDA for the quarter was 1.3 million compared to adjusted EBITDA of 6.8 million last year, including tariff duties adjusted EBITDA was a loss of 2.7 million during the third quarter. Turning to our balance sheet and cash flow, we ended the quarter with 329 million in cash and cash equivalents and 20 million in long-term debt. We generated 44 million of free cash flow in the quarter through working capital. We continue to believe our strong cash position is critical for our ability to make smart long-term decisions, especially as we continue to operate in an uncertain environment. We do think we have enough visibility into Q4 to reinstate our guidance for fiscal year '20. We expect fiscal 2020 revenue to be in the range of 1.277 billion to 1.292 billion representing 2% year-over-year growth at the midpoint. We expect gross margins in the range of 45.2% to 45.3%, excluding approximately 33 million in tariff duties in fiscal 2020. This represents gross margin expansion of 90 basis points at the midpoint versus last year, including the effective tariff, GAAP gross margins are expected to be in the range of 42.6% to 42.8% in fiscal 2020. As a reminder, Sonos products manufactured in China and shipped to the U.S. are subject to a 15% tariff through February 13. And after that date, subject to 7.5% tariff. We are pleased to report that our request for exclusion from the Section 301 Tariff Action List 4a has been granted. Our speaker and component products essentially all products currently subject to tariff will enjoy exemption retroactive from September 1, 2019 through to August 31, 2020. We have begun the process of seeking refunds for the approximately 30 million in tariff paid through this period. But we do not expect this process to be completed for a number of months. We have also begun the process of applying for an extension beyond August 31, 2020. In the event that our extension application is not granted, we will start paying the 7.5% tariff again on U.S. bound products manufactured in China on September 1, 2020. We also continue to focus on our important efforts to diversify our supply chain into Malaysia. However, due to COVID-19 related government restrictions in Malaysia, we now expect that our ramp up will not be fully complete until mid 2021. Through that transition time, we will continue to successfully manufacture products in China. Our efforts to reduce operating expenses, coupled with our continued gross margin expansion should result in adjusted EBITDA in the range of 85 million to 95 million in fiscal 2020. Excluding tariff duties this would represent adjusted EBITDA of 118 million to 128 million, representing 33% to 44% growth over last year. We are pleased to report that at the midpoint of our fiscal 2020 outlook, we are on track to deliver growth in total revenue, gross margin and adjusted EBITDA versus last year. This translates to fourth quarter 2020 revenue guidance in the range of 290 million to 305 million representing 1% year-over-year growth at the midpoint. We expect to maintain the strong gross margin trends we have attained throughout the year, driven largely by product and channel mix and anticipate gross margin excluding approximately 3 million in tariff costs in the range of 47.2% to 47.4% during the fourth quarter. Including tariffs, we expect gross margin to be in the range of 46% to 46.5%. We expect adjusted EBITDA including tariffs in the range of 23 million to 33 million. While the pandemic has certainly presented challenges, our products continue to be highly relevant and bring joy during this difficult period. Our top line resilience and focus on great new products coupled with strong operational discipline positions as well for the long-term. We are excited to keep delivering on our promise of a strong top-line and increasing profitability as we look to finish up fiscal year '20. And with that, we will open the line for questions. Thank you.
Operator: [Operator Instructions] And your first question is from the line of Adam Tindle with Raymond James. Please go ahead sir.
Madison Suhr: This is Madison on for Adam and thanks for taking our questions. I wanted to start, during the quarter you introduced several new products as well as the new operating system. Specifically on the operating system upgrade these scenarios can result in both accelerated upgrade cycles and also potentially some churn. So can you just touch on what you're seeing from customers as it relates to the upgrading of legacy products potentially turning off the platform?
Patrick Spence: Yes. Hey, Madison. Its Patrick here. No churn to speak of in terms of anything that we've seen at this point. We have millions of homes that have moved up to as to. I think there's been a natural occurrence when we introduced the new app to see like a short-term decline in the star ratings for those apps on Android and iOS. But we usually see that moderate over time. And we've already seen that happen on iOS. And I think it's getting a little bit better in terms of where it is on Android. But I think, again, in terms of one of the themes of the quarter, I'd say, we've seen good resilience and a strong brand in terms of what we've seen as part of the move to S2. So feeling very good about customers sticking with us for the long-term.
Madison Suhr: Okay, thanks. And then just a follow up, I know you have a gross margin target range between 42% and 44% out there, but your direct business has obviously been growing pretty meaningfully as a percentage of your overall revenue. And it looks like you're going to be well above this range in Q4. So can you just touch on, one, do you have a target in terms of growing your direct business to a certain percent of total revenue. And then secondly, how much of a tailwind to gross margin is this shift? And do you ultimately think that it could make you revisit some of those longer term targets in the near future here?
Brittany Bagley: Thanks for the great question. I think a couple things are going on. Yes, certainly, DTC was no higher than normal in this period of time. We're not going to give any long-term guidance on that right now, though, given that there's a lot going on in the marketplace currently, including the fact that physical retail has been partially shut down going through the process of reopening. So we would need to see things stabilize and settle out, I think before we really changed anything from a long-term guidance perspective. I would also add in addition to DTC helping, I mean, there are some great things going on product mix. We talked about a couple of factors, including reducing cost. So a lot of good things happening from a gross margin standpoint right now.
Madison Suhr: Okay. Thanks and congrats on the strong results despite the pandemic.
Operator: And your next question is from the line of Rod Hall with Goldman Sachs. Please go ahead.
Rod Hall: I just wanted to start by asking what the supply shortage impact might have been on the revenue in the quarter. You guys said you're going to catch up in the next quarter but just curious how big a drag on revenues do you think that was? And then secondly, I wanted to check with you on the number of homes, clearly you guys have seen a lot of positive demand impact you in the pandemic and done well through that? I'm just curious how many homes now you think you're in? And what you think the behavior here was, was it [indiscernible] growing as much people penetrating more into it -- buying more products. Did you get a lot of new home penetration? Can you just kind of help us understand maybe a little bit more what happened there?
Brittany Bagley: Yes, absolutely. So from a supply standpoint, I would say that really it was demand exceeding our supply chain capabilities and relative to our expectations for what we thought was going to happen in Q3. We haven't specifically quantified that in Q3, because we'll be fully caught up in Q4. So probably the best way to look at it as sort of second half of the year averaged out. I think at the top end of our guidance for Q4, you'd be basically flat on the second half of this year over the second half of last year. So it's probably a good way to sort of think about it normalized. And then I would say, very similar trends in terms of what we've seen from a household adoption rate, probably a little bit more existing home Buying as we went through Q3 and I think that's partly because physical retail, does still offer an avenue for discovery for people. So we've been able to shift a large part of that on to online, but as you can imagine, it's a little bit easier for an existing customer to get excited about a big new purchase through our DTC platform, but nothing sort of material to really call out from that. That's just a little bit of color on some of the trends we're seeing.
Operator: And your next question is from the line of Katy Huberty with Morgan Stanley. Please go ahead.
Katy Huberty: Congrats on the quarter. I wanted to go back to the discussion around this mix shift towards your direct to consumer business. If we assume that at least a portion will be sustainable and you will run at higher addressed level going forward. Should we think about over the long run profitability of the business being higher just generally speaking, or are there investments that you have to make that will offset the higher gross margin? And then, Britney, can you talk about some other potential business model impacts of the direct business, I imagine you'll have better visibility into sales and predicting a revenue that seasonality may smooth out about? Can you just talk about what the business model might look like once we settle out at some higher level of direct business?
Brittany Bagley: Yes, absolutely. Thanks, Katy. So I would say that, from a gross margin standpoint, we have been making investments in our direct to consumer business. We'll continue to make investments in our direct to consumer business, but we're actually pretty happy that that business was able to sustain the 299% growth that we saw in the quarter. So as we think going forward, it will really just be the balance between our channels. And then, our products, all of our products have slightly different gross margins. So what that mix looks like. So we're not ready to update the sort of long-term business model or long-term guidance on our gross margin, because there is a lot of factors beyond just channel that go into that. But, it has been great from a business model perspective for us to have more through the DTC business. I think it's something that has been very helpful for us from a profitability standpoint and certainly something that as we look out long-term and as we look at a more normalized retail environment will continue to be very important to us. That said, our physical retail partners are also very important to us. So that continues to be a balance for us going forward. I think you highlighted some of the good business model impacts, we certainly having a direct relationship with our customers. We have that anyway because they come and they register our products and we do get product registrations, but having that, sort of direct connection with them is great through our direct to consumer channels. I would say, we don't have the challenge of having inventory build up in the channel with our direct to consumer business. So, we hold more inventory, but certainly you don't have that lag that we saw in Q2 as we saw the replenishment cycle shift out. So I would say that's a big benefit from my perspective. Patrick, anything you would add to the DTC benefit?
Patrick Spence: Definitely the bond with customers in terms of what's there but I do think from a financial perspective, the cash conversion cycle is the big one that you hit on Brittany.
Katy Huberty: And then as retail stores reopened in June and July, how did you see the mix shift within your business and what if any contribution did you have in the third quarter? And do you expect in the fourth quarter as it relates to any selling and inventory as the retailers start to prepare for perhaps more foot traffic going into the end of the calendar year?
Brittany Bagley: Yes. I mean, I would say we had a lot going on in the quarter. So it's hard to sort of isolate any one of those factors, right, because we also, at the beginning of the quarter had our at home with Sonos campaign and that was where most physical retail was shut down. And then, we had the launch of the new products, which went sort of far better than we could have expected. And so, I would say couple all of those trends, but also the fact that we were out of stock in a number of places, including on our own Web site. So I think it's sort of too hard to pull apart specific things inside of Q3. And then, we factored in physical retail sort of being open and replenishing all of their order. So, you saw some of that in Q3. And you'll see some more of it in Q4, which is which is factored in.
Operator: And your next question is from the line of John Babcock with Bank of America. Please go ahead.
John Babcock: I guess I just want to add quickly on the demand and inventory side here. So I mean, ultimately, if demand does remain currently at strong levels. Do you have any sense that it might be difficult to rebuild inventories, any color you can kind of provide around that would be helpful?
Brittany Bagley: I mean, I think that we're planning to be back in stock in Q4. I think the challenge would be if demand continues to outstrip our expectations will continue to play catch up, but as long as we're sort of forecasting it right for Q4, we are expecting to be back in stock.
John Babcock: Okay. And that's the fiscal fourth quarter, not the calendar fourth quarter, right?
Brittany Bagley: Correct. That's our fiscal fourth quarter. Yes.
John Babcock: Okay. And then with to the tariffs here, obviously, you're going to get about $3 million in refunds there. And now you've applied for or rather you're going to apply for an extension. And what we've heard on that side is that extension may only last, at least for certain other consumer products manufacturers to the end of 2020. Are you hearing something comparable or do you think you might be able to get an extension that might go further than that?
Brittany Bagley: I think it's really hard to predict, it's hard to tell. So, we're going to apply for an extension. We'd like an extension for as long as we could get one. But at the same time, we're continuing on our path to really bring Malaysia up so that we have a diversified manufacturing footprint. And so, the closer we get to having our U.S. bound production served from Malaysia, the closer we get to having tariffs be -- much less of an issue for us with or without an extension. So it's really sort of a two-prong process and approach for us to mitigate tariffs.
Operator: And your next question is from the line of Brent Thill with Jefferies. Please go ahead.
Unidentified Analyst: Great. This is James on for brand. Thanks for taking the questions. Are there any stats or mile markers you can share about the Sonos radio launch so far? Just anything in terms of listening hours or overall engagement would be really helpful? And then, in terms of monetization, is there any contribution yet from advertising, or is that a lever that you plan on point later once you've built the engagement first? That's my first question.
Patrick Spence: Thanks, James. Really, that's come from a -- Sonos Radio has come from a place of enhancing the experience that was there. It was something that we hadn't really touched on 15 years. So we've enhanced that experience, we've seen great engagement in terms of where it's sitting in terms of services on the platform. So we feel good about that right now. We've just recently introduced advertising into it. And we're just putting our toe in the water at this point. So, that is something that we are excited about the future, but we're just getting started with. So I'd say stay tuned as you get further along on that one.
Unidentified Analyst: Great. And then just another one, you spoke about on the last call about having pretty solid demand for the Sonos moves, especially at the end of the quarter, just curious how that trended into June and July as more reopening started to happen. And then, I'm guessing just curious how you think more broadly, about your strategy towards out of home products going forward. Thank you.
Brittany Bagley: So I would say Move continued to perform well, it was one of the products that we were out of stock on because demand exceeded expectations. We also introduced a white Move during the summer quarter. So we now have black and white in that product, which is also out of stock. So really, really great products across the board there. That is our out of home product right now. And so we don't really chat through our future roadmap, but it's a great product, it's doing well for us. And so even with a pandemic, where people are probably more likely using it in their backyard, so who knows if it's continuing to perform really nicely.
Operator: And your final question comes from the line of Alvin Park with Stifel. Please go ahead.
Alvin Park: So Alvin in from Matthew Sheerin. Just following up on the Malaysia transition and involving the tariffs, as you move transition more production from China to Malaysia to get around with the tariffs, is there any significant material difference in terms of the cost structure at Malaysia versus China that might have an impact to your COGS line item?
Brittany Bagley: Yes. This question is a great question, for a couple quarters, and we continue to say that there was nothing sort of material that that we would call out. So I know that others have called it out. So I totally get where it's coming from. But it's not something that we're calling out as a big impact to our gross margins or sort of noteworthy at this point.
Alvin Park: I see. Thank you. And also regarding the continuous legal activity with Google and Denon and et cetera. Is the strategy expected to continue on? Are there more counterparties that you expect to proceed with further litigation on and we just want to get a gauge of what the overall strategy will be regarding litigation going forward?
Patrick Spence: [Indiscernible] Google, we are going to file that case, we are confident in it and we remain confident in it today. We are expecting a broader program. But, yes, there are quite a few companies in the space and we believe are infringing on our patented invention. And we're in touch with many of them. And the goal would be to continue to establish a set of precedents around like ingredients with number of those companies.
Operator: And I now would like to turn the call back to Patrick Spence for closing remarks.
Patrick Spence: Great. Thanks, everybody. I appreciate the questions and your attendance and we will see you next quarter. Take care.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.